Operator: Good evening and welcome to the Texas Roadhouse Inc Second Quarter 2018 Earnings Conference Call. Today’s call is being recorded. All participants are now in a listen-only mode. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to introduce, Scott Colosi, President of Texas Roadhouse. You may begin your conference.
Scott M. Colosi: Thank you, James and good evening everyone. By now you should have access to our earnings release for the second quarter ended June 26, 2018 that may also be found on our website at texasroadhouse.com in the Investors section. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We refer all of you to our earnings release and our recent filings with the SEC for a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures, and applicable reconciliations of the non-GAAP measures to the GAAP information can be found in our earnings release. On the call with me today is Kent Taylor, our Founder and CEO, and Tonya Robinson, our Chief Financial Officer. Following our remarks, we will open the call for questions. Now I would like to turn the call over to Kent Taylor.
Wayne Kent Taylor: Thanks Scott, we are pleased to report another quarter of double-digit sales growth driven by increasing guest counts and continued operating lead growth. Comparable sales in the second quarter were up 5.7% including traffic growth of 4.3%. Our strong sales momentum has continued into the third quarter with comps increasing approximately 4.7% in July. While the benefit of tax reform lead to almost 17% diluted earnings per share growth in the quarter, restaurant margins continued to be pressured by increasing labor costs. We know we are battling labor inflation this year somewhat driven by our decision to make investments on that line. However, we also know that investments like those along with our focus on keeping menu prices as low as we can are the right thing to do for the long-term success of the business. On the development front we have opened 14 company restaurants so far this year and we have an additional 14 restaurants currently under construction. Due to permitting issues we've pushed the opening of two Bubba 33 restaurants into next year and updated our full year guidance to reflect our current expectation of 27 to 28 company restaurant openings. The remaining openings this year will be back-end loaded with three expected in the third quarter and the balance in the fourth quarter. Looking ahead to 2019 our development pipeline is shaping up nicely. As always our target remains to open close to 30 company owned restaurants next year with most of those sites already selected. Finally a big thank you to our operators, our results so far this year show that their continued focus on their people and their business is paying off in the form of increased guest traffic and higher guest satisfaction. Now I will turn the call over to Tonya who will provide the financial update.
Tonya Robinson: Thanks Kent and good evening everyone. For the second quarter of 2018 net income increased 17.7% over the prior year period to 44.2 million or $0.62 per diluted share. Revenue growth of 11.1% during the quarter was driven by a 6.4% increase in store weeks and a 5% increase in averaging the volumes. For the quarter comparable restaurant sales increased 5.7% comprised of 4.3% traffic growth and a 1.4% increase in average check. By month comparable sales increased 8.5%, 3.6%, and 5% for our April, May, and June periods respectively. As Kent mentioned comparable sales increased 4.7% for our July period. At the beginning of 2018 we implemented the new revenue recognition accounting guidance which resulted in the reclassification of certain expensing credits. The reclassifications had no impact on net income and the comparative financial information has not been restated. As a result of the reclassification during the quarter we reduced sales by 1.5 million for gift card fees net of gift card breakage income and increased other revenue 0.7 million for franchise related items. Additionally cost of sales decreased 1.1 million or 10 basis point. Other operating costs decreased 0.7 million or 8 basis point and G&A increased 1 million or 17 basis points. No direct reclassifications were made in labor, however, the change in sales resulted in an increase of 7 basis points to labor as a percentage of total sales. We currently expect the ongoing 2018 impact of the reclassifications related to the implementation to be similar as a percentage of total sales or as a percentage of total revenue to those just quantified. For the quarter restaurant margin decreased 77 basis points to 18.2% as a percentage of total sales compared to the prior year period. Cost of sales as a percentage of total sales decreased 24 basis points compared to the prior year period. The impact of approximately 1% commodity inflation was more than offset by the benefit of average share and the impact of the reclassifications. Labor as a percentage of total sales increased 93 basis points to 32% and labor dollars per store week were up 7.5% compared to the prior year period. The main drivers were wage and other inflation of approximately 4.3% including the impact of increasing managing partner based pay and growth in hours of approximately 3.2%. The approximately 4.3% wage and other inflation includes $0.7 million or 0.3% benefit in our group health insurance expense due to a change in our clients development history. We continue to expect labor dollars per store week growth to be in the mid single-digit range excluding the impact of higher guest counts. Our labor expectation includes an estimate of increases due to mandated state wage rate, ongoing market pressure, restaurant level compensation increases in growth in labor hours due to certain hiring initiatives. Lastly other operating costs as a percentage of total sales increased 11 basis point compared to the prior year period. The increase was primarily due to higher dining room supplies expense related to the new to-go-packaging rolled out in late 2017. The increase was partially offset by the impact of the reclassifications. We currently expect other operating to be approximately 1 million higher for the remainder of 2018 primarily in the third quarter due to changes in to-go-packaging. Moving below restaurant margin G&A cost increased 6.8 million to 5.6% as a percentage of revenue which was a 58 point increase. The increasing created 2.5 million of additional costs for our 25th anniversary annual managing partner conference which was held in San Diego this year as well as the impact of reclassifications discussed earlier our 2019 conference will be in Florida so costs are expected to be lower next year. We also reported an additional 1.1 million of costs related to incentive and equity compensation this quarter. Depreciation expense increased 2.1 million year-over-year to 25.2 million or 4% as a percentage of revenue which was an 8 basis point decline. Pre-opening cost decreased by 0.9 million year-over-year driven by the timing of the opening. As Kent mentioned our openings for the second half of the year are back end loaded. So we currently expect third quarter pre-opening cost to be lower compared to last year while costs in the fourth quarter should be higher. Finally our tax rate for the quarter came in at 15.6% compared to the 27.9% rate in the prior year period. We are updating our full year income tax rate guidance to 14% to 15% compared to previous guidance of 15% to 16%. Our balance sheet remained strong at the end of the quarter with 154 million in cash. In April at the beginning of the second quarter we used some of our cash to pay off our outstanding credit facility balance of 50 million. For the first half of 2018 we generated 165 million in cash flows from operations, incurred capital expenditures of 67 million and paid dividends of 33 million. We continue to project capital expenditures of approximately 165 million to 175 million excluding any cash used for franchise acquisitions. Now I will turn the call over to Scott for final comments.
Scott M. Colosi: Thank you Tonya. Well we're very pleased with our top line performance for the first half of the year especially with the traffic gains we've seen. As Kent mentioned earlier our strong comparable sales growth validates our decision to keep menu prices low and invest in labor especially given the benefit of tax reform on diluted earnings per share growth this year. However in the short-term these decisions are tough on both restaurant margins and restaurant margin dollars per store week. Ultimately providing a legendary experience to our guests and not taking anything for granted will always be our number one focus because we know it is the key to long-term growth. With respect to development returns, our newest Texas Roadhouse locations are performing well with average weekly sales over $105,000. In addition positive sales momentum at Bubba's has continued through the second quarter. 12 Bubba 33 restaurants in the sales base grew their sales by approximately 7.5% which is certainly encouraging. In addition around this time each year we also look at the returns for restaurants we've opened in previous class years to evaluate their performance compared to initial projections. For example this month we had our first look at our 2016 class year since all locations have been open at least 18 months. Our analysis shows overall returns to be well in excess of a weighted average cost of capital. At the end of the day we continue to be very excited about the direction of our business and we will remain focused on doing the right things for the long-term benefit of our employees, our guests, and our shareholders. Thank you to all of our operators for your continued commitment to legendary food and legendary service. And that concludes our prepared remarks so James please open the line for questions.
Operator: [Operator Instructions]. And our first question will come from Brian Bittner with Oppenheimer & Company.
Brian Bittner: Thanks, hey guys. First question just on the cash balance, -- problem $150 million on the books and you talked about the opportunity to purchase up to 60 franchise restaurants, I wish I had that in my notes, how like realistic is that that you would pursue something like that, should we start to be thinking that franchise acquisitions are real possibility moving forward here?
Tonya Robinson: Hey Brian, this is Tonya. I can tell you we do have one in the works that will happen before the end of the year and we are actively talking to a number franchise partners about that. So we really hope to be making some -- moving ahead on that, maybe not into the back half of this year but maybe into 2019.
Brian Bittner: Thanks and just last question on the same store sales, obviously a very hot spots of the quarter and I guess it cooled a bit as the quarter went on. Anything you can tell us about the costs throughout the quarter to help us better understand how it looked and what maybe you attribute the lower GAAP versus the industry in the last couple of months of the quarter too?
Tonya Robinson: Brian I am -- there isn't anything that I can think that I would really call out that stuck out to me from a regional perspective, geography, across the country it was very similar. Days of the week, day part things like that very similar. So nothing there that I would point out. I don't believe there are any quality shifts that we would call out. No events like weather or anything like that. So, nothing that I could call out as pointing to any reason for that. I think on the GAAP to the industry numbers we do have less pricing on our menu than maybe others do, so maybe looking I would constantly maybe look at traffic versus the same store sales GAAP.
Brian Bittner: Okay, thanks Tonya.
Operator: Next we will hear from Will Slabaugh with Stephens Inc.
Will Slabaugh: Yeah, thanks guys, wanted to start on the Bubba's comment, it was great hear on 7.5% comp on those dozen that are in the base. I was curious if you could give us the update as well on what you've been seeing in some of your more recent openings, I know you have been working on either size of the stores and different things operationally you tested, so I was curious on just how those are performing so far?
Wayne Kent Taylor: This is Kent, yes, we're really pleased with the progress of Bubba's. Our newest prototype it's a bit smaller, is one of those stores that pushed in the first quarter of 2019 so we'll see how that works. But quite frankly I've been tired of catch some grief from Scott for quite a few years and I'm glad the team is stepped it up because it is getting old. So we're very happy, thank you.
Will Slabaugh: Congrats on that. And I did want to ask one quick commodity question if I could, how far you locked out on beef and if you have a percentage you can give us on this fiscal year?
Tonya Robinson: Yeah, we really haven't talked about specifically on beef. We are still locked on about 60% of the remaining year for the whole commodity basket and obviously a big piece of that is the beef basket. Looking at it I know we're starting to look into 2019, we may be a little bit lost at the exact numbers into 2019 but nothing to -- really nothing, it is still early right now. Nothing we could speak to on 2019, not enough to make any statements on that.
Will Slabaugh: Got it, thank you.
Operator: Next we'll hear from Jeffrey Bernstein with Barclays.
Jeffrey Bernstein: Great, thank you very much. Two questions, just one Scott you mentioned the conservative approach on pricing and how that's prudent and driving traffic which obviously seems to be the case, just wondering since like recently you have considered price increases maybe a couple of times a year. I'm just wondering when you would next consider an increase, it does seem like you have the pricing power and obviously you have the cost pressure so I am just wondering with the frequency with which you evaluate it when we should expect a potential mix increase and then I have one follow-up?
Wayne Kent Taylor: Sure, this is Kent. We, believe or not just this week we had a meeting about our California stores where we've had significant increases in labor there. We're looking at our New York stores as well but every year in the fall I sit down with all 60 of our market partners and we reevaluate pricing as we look to November, December as usual as it is typically the time of year we would look at price increases.
Jeffrey Bernstein: Got it and then in terms of the traffic, I know you talked about being pleased with the consistency and I know it was mentioned earlier that maybe the industry's closing the gap a little bit if you think about the overall comp. But seems like a lot of your peers are having some success with whether it's mobile or digital or delivery, loyalty, things like that, I'm just wondering whether any of those things become top of mind as you are seeing some of the others in the industry have success with those, whether you might consider some of the things to help with your throughput or to help drive sales?
Wayne Kent Taylor: This is Kent and I'll let somebody else jump on it as well. When I look back four years we are up 22% versus some of our competitors that are not even a third of that. I think we kind of do it the old fashioned way primarily but I'm sure somebody else in the room would like to add to it.
Scott M. Colosi: Hey Jeff this is Scott. With regards to our sales growth we're very pleased with what we're seeing and we're cognizant of sometimes the GAAP versus some of the industry stuff. Sometimes it gets larger, sometimes it gets smaller. We don't really worry about that a whole lot, we worry about what we're doing and I was just looking at -- lot of us look at two year stacks, I know you guys do and a lot of folks even look at three year stacks. When I look at our three year stacks and I look at the first seven months of the year over 13, over 9, close to 15, just over 16 which was April and then over 13, over 12, and over 13. It was a pretty -- and when I look at it from that standpoint those look like pretty consistently pretty strong growth numbers. So we kind of feel like we're pretty focused in doing a lot of the right things to keep our guest coming back and bring more guests in the door. So, we're paying attention to the different trends in the industry, I'll tell you that. But in some ways we've seen some of these things before which seem to work pretty well in the short-term and then maybe don't work so well in the long-term. And we're just careful in thinking very long term about our business, very protective of the guest experience in our business.
Wayne Kent Taylor: Hey this is Kent again, we mentioned that we've had a little bit of a focus on labor and we're over 5 million unit and we are trying to step up to get us to 6 million.
Jeffrey Bernstein: Understood, thank you.
Operator: We will now hear from David Tarantino with Baird.
David Tarantino: Hi, good afternoon. Tonya I just had -- first a quick clarification question on the other operating line item. That line looks like it was up quite a bit in dollars for operating especially relative to what the trend was previous to this quarter. So can you talk about why that line delevered slightly this quarter after levering so much in the first quarter?
Tonya Robinson: Yeah, a big piece of it -- some of it has to do with the revenue reclassification, so you just kind of take those a little bit out of the picture and focus on the remaining kind of the core other operating. Just kind of a couple things going on. So we're seeing credit card charges continue to be a bit higher than what we typically run. Some of that institute a credit card transaction, more of those transactions being plastic versus cash. So that's one thing we saw this quarter. The other thing we continue to see is just higher gift card sales throughout the year. A lot of that with our third party vendors so we continue -- in Q2 we really saw that ramp up and that leads to a lot of gift card production cost as we supply cards to those on third party retailers. So that's kind of what happened in Q2, that pushed start up a bit more than what we typically would see.
David Tarantino: Great and I guess is there any guidance you could offer for the back half of the year, is it going to look more like Q1 did or more like Q2 did in the back half of the year in terms of year-over-year change?
Tonya Robinson: Well, the other thing that I would mention in Q2 is to-go supplies. We talked about the specific changing of supplies was about 1 million I believe is what we said on Q2. We expect to see that again in Q3 and then to go with just being up albeit just sales being up on to-go causes those to-go supplies to be up 2. So I would expect that to continue somewhat but you will see a fall off in Q4 specifically with the to-go supply pricing kind of laughing that number, that $1 million number each quarter. But other than that David and I was kind of expecting maybe to act similarly to Q2 outside of that to go supply falling off in Q4.
David Tarantino: Got it and then I guess one question on the restaurant margin line, I think Scott mentioned that the current philosophy on pricing is putting some pressure on restaurant dollars per operating week and we can see that. It looks like it's been flat year-to-date so I guess what's your confidence or maybe not confidence in sort of holding that line flat in the second half of the year since I know that's how a lot of the operators get paid? And then I guess as a follow up to that if there is downward pressure on that line this year how are the operators thinking about pricing as they head into these discussions you mentioned Kent heading into next year, are they starting to think that they might want to get more aggressive coming in to next year given the pressure they have seen this year?
Scott M. Colosi: You know David this is Scott. I mean lot of our operators have been with us for a long time and so they have enjoyed, we have had quite a run in Dollars per store week on that they've made and their profit sharing has gone up quite a bit over the years when we go back and look at the last 10 to 15 years in our business. And there was a little bit of downturn during the big recession and pretty much since then it's been straight up. And so for them they recognize that. They also recognize a lot of that is supported by the great value that we have on the plate of which pricing is a big part of that. So they are pretty protective and they do think pretty long-term and many of them are big believers that will gladly take on that challenge of driving more traffic to help offset whether it's inflation or investments in any particular line item. So, they're just as much of a party to keeping prices aggressive as any of us are in the room here. It is interesting to see certainly in some of those states where the minimum wage is going up quite a bit. I wouldn't be surprised if some of those folks would request somewhat higher price increases and I wouldn't be surprised if we took prices up a little bit. We have historically in some of those states where price for minimum wage went up quite a bit. So, we'll see how that all shakes out but just like we do at the more senior level our operators they also think very, very long-term and are pretty patient.
David Tarantino: Great, thank you.
Operator: Next we'll hear from John Glass with Morgan Stanley.
John Glass: Thanks, good afternoon. On the product pipeline -- on the, sorry, unit pipeline push out, first of all why did it get as back-loaded as it did this year, I don’t think that's typical for you all and your confidence level in getting those numbers -- hitting those numbers or is there risk to slippage because you're planning some in December for example and weather or other permitting things could impact it?
Wayne Kent Taylor: This is Kent, they're all the ones that will open this year are under construction. Unfortunately we don't totally control the permitting process and as we've seen over the years it seems to be getting a little longer every year. It has never gotten shorter. So typically our delays are related to permitting. So we're trying to get some more sites for next year in the pipeline so that if we do have slippages we won't fall below 30.
John Glass: Thanks for that and then you don't talk much about -- you have an email list or people sign up and they get in offers, how many customers are in that database, how have you used it, has that changed at all and can use it if you need to stimulate sales at some point in the future, may be in the past have you used that to do targeted offers to your consumer base?
Scott M. Colosi: Hey John, this is Scott. We've got just over 6 million names in our e-mail database, it is called fishbowl. And we communicate quite regularly with the folks in that email database. Matter of fact our restaurants can do their own specific messaging to those folks. Typically it might be recognition of certain special days of the year for us like Valentine's Day or Mother's Day or Father's Day, it could be their birthday, things like that. What we don't do really is LTO's and through there. So, we just -- we don't do that but we do communicate with them quite frequently and we are extremely active on Twitter and Facebook and those avenues as well.
John Glass: Got it, thank you
Operator: David Palmer with RBC has our next question.
David Palmer: Thank you, just think big picture question on margins. Just looking at your long-term evolution of margins it's interesting, it is just picking 2013 as a random starting year. Your labor costs are up over 300 basis points but your food cost 250 basis points or so lower, so you're close to record levels for both meaning record high levels in the case of labor and record low levels in the case of food and with your costs over indexed to beef in that beef cycle not even close to ending you seem to have a run way to lower food costs for a while from now. So I guess the question is do you see yourself philosophically do you see yourself sort of harvesting food margin and plowing that back into what also seems like a runway for higher labor costs and just continuing to press against labor reinvestment as you get the benefit of the beef cycle?
Scott M. Colosi: Hey David this is Scott. I mean certainly we've had a few years of a pretty significant food cost deflation which helped us with some of the labor inflation that we did have. And of course this year we don't have that food deflation to help with labor inflation which has put some of the pressure on margins. Like you said if you look over a large number of years and our margins have bounced around a little bit, probably averaged around 18% restaurant margin and that's a good place for us. Yeah, we don't get too bad a shape if it falls a little bit and nor do we want to get it too high just because maybe our prices are getting ahead of us if you will on the value side. So we keep watching -- obviously there's a difference between labor and food meaning labor is much less cyclical, labor generally more permanent, wage rates go up. They generally don't come down whereas food goes up and down. So the labor is a bit more concerning, bit more challenging for us longer-term and so -- but we've dealt with this before when you go back to 2007 with minimum wage by $5.15 to $7.25. There were a lot of states that went from $2.13 to $5 or $4 or whatever it was on tip wage. So we have kind of been down this road before but we're going to keep pushing ahead on legendary food, legendary service like we've always done. Keep asking ourselves what can we do that is smart with regards to managing labor and food costs and other operating expenses and leverage our purchasing power wherever we can, those types of things that any reasonable company would do and get after it. So if we continue to do that and grow traffic in addition to limited pricing we think we can keep our margins in a pretty healthy range.
David Palmer: Thank you.
Operator: We will now hear from Karen Holthouse with Goldman Sachs.
Karen Holthouse: One quick housekeeping question, did you send the [indiscernible] price in the call already?
Tonya Robinson: Did you say the pricing Karen.
Karen Holthouse: Yeah.
Tonya Robinson: The price in Q2 ran about 1.3%. You have had about 0.8 in there that we took right at the end of March and then you have about 0.3 that we took in mid December of 2017. So that's what's in there right now. You also had -- we had some about a half point that rolled off in May which is why you get a little bit more than that 1.1 in Q2, it came in at about 1.3%.
Karen Holthouse: Okay and then how are you thinking about inflation just for the balance of this year on the commodity side?
Tonya Robinson: Well we're guiding to approximately 1% inflation that does have a little bit of deflation built into it and so I think we expect to continue to see that. We still have a bit of a basket that's floating that we typically do on produce and things like that. So I think in Q3 you may not see -- you may see a little bit less inflation than what you know Q4 to get to that 1% on a full year basis. But for the most part it will be pretty consistent across the rest of the year.
Karen Holthouse: And then one other one on the sort of preliminary guidance for about 30 unit open in 2019, how should we be thinking about that for the breakout of Texas Roadhouse versus Bubbas?
Tonya Robinson: Right now I would say it is probably similar, maybe a handful of Bubba 33 restaurants and they are right -- predominantly all the rest being Texas Roadhouse.
Karen Holthouse: Thank you.
Operator: Next we will hear from Andrew Strelzik with BMO Capital Markets.
Ryan Royce: Thanks for taking the question, this is actually Ryan Royce on for Andrew. Just one question from me, it was helpful to hear the color of your 2016 store class and how that’s been performing. Can you give any additional details as to how that has performed relative to your internal targets or prior store classes?
Scott M. Colosi: Yeah, this is Scott. Our internal targets are basically mid-teens IRRs. I mean that's what we are shooting for. And depending upon sometimes the state that were in and so forth but we kind of track the last four class years and we're definitely right in that mix. The one exception would be 2013 is quite a bit higher, the investment cost was quite a bit lower. 2013 that's like the biggest driver of that but we're very happy with the most recent class years. They're right on the number for us. So time will tell if they stay there. Hopefully we can get better when my 2013 is done but we don't have a lot of wishful thinking I'll say that in our modeling and so it's one of the reasons why you see us only open 25, 26, 24 Roadhouses in a year. It is tough for as big as we are now to find the quality sites and real estate that you're looking for. So we are very protective of again how we invest our cash.
Ryan Royce: Great, thank you very much.
Operator: Next we'll hear from Stephen Anderson with Maxim Group.
Stephen Anderson : Good afternoon, just a couple questions. First I want to touch on your capital structure. I was like on your -- on the credit facility the 50 million you paid that off during the quarter but in the past you talked about maintaining about 50 million on your balance sheet just as sort of like have that reserved there, is that something you wish to consider going forward?
Tonya Robinson: Are you talking about using 50 million on the debt or…
Stephen Anderson : The 50 million on debt I should say.
Tonya Robinson: Yeah, I think when we looked at the 50 million outstanding there is a cost to that albeit it is somewhat low but it's still about a 1% interest cost. So given the cash level we had it just seemed to make sense to go on and pay that off. Knowing that we have access to that facility any time we need it if something does come up whether it's franchise acquisition, share buyback or anything like that so, I don't think we necessarily have a debt balance that we want to maintain. I think we're okay being kind of fluid on that knowing that that facility is out there.
Stephen Anderson : And you are paying high percentage on the facility -- percentage that is unused?
Tonya Robinson: Yes, we do. We do have unused commitment fees that pay. Obviously those are little less than what we would be paying had we been having any amount outstanding.
Stephen Anderson : Yes, second question in a completely different direction. I know well we just in past quarters have asked about that Jaggers and you're looking to open a third location sometime this year, is that still on your schedule?
Scott M. Colosi: Hey Steve this is Scott. Yeah we're still working towards the third one, the first two are doing really well, grown sales quite a bit and we are kind of staying very patient when it comes to Jaggers. We're not sure exactly of the timing of Jaggers number three. But by taking our time and it's sort of a strange little bit of our thinking about what the number three might look like prototype wise and how big it might be or how small it might be and that kind of thing. So not to give too much away but we got a lot of momentum breakthrough, great service and so forth. And so we'll get there on number three pretty soon.
Wayne Kent Taylor: Scott this is Kent, do you think it's possible we could get one opened next year.
Scott M. Colosi: I don't know Kent, we will take our time on it.
Operator: [Operator Instructions]. We'll hear from Chris O'Cull with Stifel.
Chris O'Cull: Thanks, good afternoon. Scott, I know managing partner turnover is extremely low but how has the SM and KM turnover trended in the past several months?
Scott M. Colosi: It continues to move down and we're very happy with the -- though we are not all the way where we want to be on KM and SM turnover so we'd like to get it down really in the single-digits would be ideal. We're just above that. But we are talking about it, it's one of the things we're talking about every day especially as our restaurants have gotten busier and busier, those jobs have gotten bigger and bigger and tougher and tougher and so those folks just like managing partners or anybody else they're fighting hard for us and so they're very, very important part of our business. And not a meeting goes by where we don't talk about those positions. I will tag around the subject, our hourly turnover has continued to pick up a little bit albeit at a slower rate than what it had been previously. So hopefully we're seeing that starting to tail off, hopefully we're starting to see some of the benefits of staffing out more typically in the front of house starting pay off. But as you know unemployment is very low, labor market is very tight. You see tons of businesses talking about how hard it is to hire people and the kinds of benefit packages and wages that they're offering people, it is extremely competitive right now and very challenging across the board.
Chris O'Cull: I know the companies made several investments this year to increase staffing levels and to improve retention of employee base, what happens if the turnover continues to rise maybe on the hourly side or the KM and SM turnover doesn't come down like you expect, should we expect another year of investments to try to improve those metrics?
Scott M. Colosi: I wouldn't say so much on the KM -- on the kitchen manager and service manager side. Certainly we continue to challenge ourselves on compensations and also if you're a long time kitchen manager, service manager what other opportunities they have in our company for developing your career and what not. If you've got some that has been around quite a long time I think on the hourly side time will tell Chris. I mean when you make decisions like we're doing a lot of times you don't see the results maybe as quick as you'd like. Almost like anything you do in the restaurant business. And not all your guests show up every week, a lot of them come more intermittently so when you make any change in your business it is not fully dealt for a long time. This is similar to that when you're changing your staffing levels and you're showing your folks you've given a more flexibility in their schedule, which is a big benefit when you do staff up. Of course at the same time when you staff up you can maybe have higher standards on certain things that you're asking for from your employee. So sometimes you may have little bit higher turnover in the short-term simply because you're being toeing the line more on your standards and was getting lower turnover in the longer term. So it's again one of those things where the marathon not a sprint for us and we're going to get you know focus on what's the right long term decisions for the business and if it goes into next year or the year after that so be it. We are going to keep at it.
Chris O'Cull: Okay, great. Thanks guys.
Operator: Next we'll hear from Robert Derrington with Telsey Advisory.
Robert Derrington: Yeah, thank you. Scott if you could help us for a second, you mentioned briefly that there is the prospect of a possible acquisition of a franchisee our stores later this year, can you give us any kind of a range of estimates of either timing or number of units?
Scott M. Colosi: Well I think Tonya mentioned it might be one restaurant. We are -- we pretty much talked to all of our franchisees every year and one challenge we have is that our business has been performing pretty well and their business has been performing pretty well. So they're pretty happy. We're kind of in many ways one system in Texas Roadhouse and in our franchisees participate and they're right there with us on all the stuff that we are doing. So -- and they're great partners with us and they've done a great job of running their restaurants and many of them spent quite a bit of money in remodeling the restaurants and keeping them current. So we value those partnerships and we respect what they're trying to do and the success that they have had and we're pretty fun company to be around and they enjoy that part too. So we'll do our best to acquire you know folks and -- but we'll see what happens.
Robert Derrington: That's helpful and then another quick question on the same store sales trends for your franchisees, the domestic -- it looks as though the domestic group is doing a little bit better, what can you tell us about the drag from international that brought the number down to 1.9 versus the 3.9 domestic?
Scott M. Colosi: Well, international particularly in the Middle East. The Middle East those restaurants Bob has been -- with those economies there they have really taken a pretty big hit. Our Middle Eastern franchise either continues to build Texas Roadhouses. I think they're very happy with what they're getting from the Texas Roadhouse brand and they've been a fantastic partner for us in so many facets but it is just tough sledding with oil prices and just -- you are seeing some of it in the news with some of the folks that are trying to change some of things in their countries. In the Middle East because of the economic challenges that they have. So that is just impacting our business as well.
Wayne Kent Taylor: This is Kent, and yes part of that too is the European economy kind of drives the tourism specifically in Dubai and there's a little bit of that. With that said though we're getting ready to open in Shanghai and South Korea coming up. So we are very excited about that.
Robert Derrington: That is great and then one last question. I think next year is the 53 week year with I assume the extra week coming in the fourth quarter, any kind of color you can provide us on either what that week may be worth in the way of an earnings contribution or how we should think about where the leverage would show up at the restaurant level?
Tonya Robinson: Hey Bob this is Tonya. You're absolutely right there is a 53rd week next year in Q4, our year end I think actually will be I think on December 31st next year. If I am remembering correctly. So we'll definitely be talking more about that impact on the call -- on the next call. Nothing I can really tell you right now on what that could be. Obviously it is an extra weekend sale, there is a bit of a pickup I believe on rent because you have 12 months of rent, that week doesn't impact that. But all the other line items are pretty impacted, maybe if something's in the other operating line. So, just off the top of my head remembering from six years ago the last time we did this that's what I would say. So, we will definitely be giving more color on that on the next call.
Robert Derrington: Terrific, thank you.
Scott M. Colosi: Well, we would like to thank everybody for being on the call and I think that wrap things up.
Tonya Robinson: Thanks everybody, let us know if you have any other questions. Thank you.
Operator: That does conclude today's conference call. Thank you for your participation. You may now disconnect.